Operator: Good afternoon ladies and gentlemen and welcome to the Jones Soda Co. first quarter fiscal 2008 earnings conference call. (Operator Instructions) I’d now like to turn the call over to Hassan Natha, Chief Financial Officer of Jones Soda; please go ahead sir.
Hassan Natha: Good afternoon ladies and gentlemen and welcome to the Jones Soda 2008 first quarter earnings conference call. Before we begin let me remind everyone of the company’s Safe Harbor language. Certain portions of our comments today will concern future expectations, plans and prospects of the company including, without limitation the financial guidance we may provide, constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigations Reform Act of 1995. Forward-looking statements include all passages containing verbs such as aims, anticipates, estimates, expects, believes, intends, plans, predicts, projects or targets, and the negatives of these words or similar words or expressions. Forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those indicated by the forward-looking statements. Factors that could affect our actual results include among others those discussed under the heading Risk Factors in our most recently filed Annual Report Form 10-K with the SEC. Listeners are cautioned not to place undue reliance on these forward-looking statements that speak only as to the date of this earnings call. Except as required by law we do not assume any obligation to update any forward-looking statements we may make today. In addition certain financial measures discussed on this call are non-GAAP financial measures which are gross revenues and gross margins. The information required by Regulation G with respect to these non-GAAP measures is included in our earnings release issued today which has been posted under the link of the Investor Relations portion of our website at www.jonessoda.com. I will now turn the call over to Stephen Jones, Chief Executive Officer of Jones Soda.
Stephen Jones: Thanks Hassan. During the first quarter we continued to execute the programs and initiatives we laid out on our year-end call in March that are aimed at transforming Jones Soda from a niche player into a main-market beverage company. I will review these again in a moment but in short our efforts have been focused on increasing awareness and demand for our brands and products, enhancing our operating platform in order to create a stronger more efficient company that will outperform over the long-term. As we stated before we expect that this will be a multi year transition and there is much work still to be done ahead of us. However we are pleased with some of the initial results. Namely, the increase in actual cases of finished Jones Soda product that we ship to the market during the first quarter. This included a 31% increase in cases of finished product, primarily bottles, that we shipped to distributors compared with the first quarter of last year and a 195% increase in cases of finished product primarily our 12 oz. cans that National Beverage shipped to retailers versus a year ago. We believe these case sale metrics provide a better gauge of current demand for Jones Soda as apposed to reporting case sale equivalents of concentrate we sell to National Beverage given the lag time between production and the end sale. Unfortunately though we reported a slightly higher loss then we expected for the first quarter driven by an additional write-down of obsolete inventory and a higher promotional allowance spend. With regard to the inventory write-down we believed we had taken a large enough provision during the fourth quarter, however we discovered that several 12-pack sleeves will be unusable after September of this year due to natural deterioration. Even though we have a strong sales effort in place to sell that product right now we don’t believe that we will sell it all and felt it was prudent to write-down that inventory at this time. In addition we wrote-off materials associated with a small discontinued new product concept that wouldn’t have added any value to our portfolio or to our shareholders which we will not be moving forward with. In addition we had to scramble to move production to another facility when our St. Louis bottler declared bankruptcy and shut down operations. Although our team worked around the clock and we were able to deliver all of our customer orders from our Toronto plant, we were unable to recover all the ingredients that already had been purchased for production which we had to write-off. We also incurred extra shipping costs to resolve the situation. On a positive note fortunately we are already well into our supply chain management study and have started negotiations with three new bottlers that will improve production quality and reduce freight costs which will have an overall positive impact in the long-term. As for the promotional allowance we felt the additional spend was necessary in the form of price discounts and coupons to stimulate consumer demand and to pull existing product already in the market off the shelf to make space for new orders. We are confident that as we move forward into our peak selling season we will be able to expand gross margins and drive more meaningful operating expense leverage to the bottom line. Before I turn the call over to Hassan, I want to walk through the strategic growth initiatives we have put in place for 2008 and how we successfully executed against our plan year to date. The initiatives are, and there are six of them, and many of you have heard these six before, number one is expand and strengthen the distribution infrastructure. Strengthen the sales organization and in-store execution. Improve our supply chain management system to increase the effectiveness and margins. Generate branding that not only creates love and buzz for Jones but also purchases for Jones and our other brands. Introduce new high growth and high margin products and attract and develop great people and give them the tools and systems to improve their performance. Let met kick off with that last one, people and systems. Our first hire was Joth Ricci, Chief Operating Officer who’s on the call with Hassan and me today. And many of you have already had the chance to talk with him and some of you have met with him. This might embarrass him but in my mind Joth represents the standard we are seeking in all of our people going forward. We also hired Tom O’Neil, Vice President of Sales, who told me personally that he is going to crush it. So I hope he does. He is a seasoned sales executive and an outstanding leader who hit the ground running and he and Joth just concluded today an important and successful meeting with Target that hopefully Joth might update us on. Tom and Joth have rounded out our sales with the hiring of Rich Simone and Mark Billings both of them whom have lots of beverage and lots of distributor experience. And for those who track sales teams, you’ll see what we mean with the hire of Rich and Mark when we say we’re committed to attracting A-list players. And Susan [Rasiski] just joined us as Human Resources Manager. She was formerly with Cisco and we’re very fortunate to have someone of her caliber on board with us. So we move on to systems, our major systems initiative in the first quarter was the development of a new trade allowance system and set of guidelines that controls the amount per case and P&L impact. This allows us to track expenses on a real time basis and improve our analytics and forecasts to improve our ROI on the trade allowances. In addition Hassan and his team have been working on important weekly financial reporting systems that speed up the analysis and review of our activity and financial impact. Next expanding and strengthening our distribution infrastructure allows us to reach more customers and more shoppers with more product with execution excellence at the shelf and here are just some of the first quarter highlights. As we’ve said previously California is a key priority for Jones so we are pleased to announce that we have reached an agreement with Pacific Beverage in Santa Barbara who have already made solid advancements with 24C. As we previously discussed with some of you we reengaged with [Herlombos] in Los Angeles which greatly strengthens our go-to-market capability in Southern California. In Canada [Lassan] has been a long term partner of Jones in the East but they have recently extended their Jones reach into Quebec and the Western provinces. Together with Lassan we just announced that Loblaws who have over 1,200 outlets under 13 banners and control approximately 45% of the grocery trade in Canada just introduced Jones bottles across the country. Canada is one of our most mature and high margin markets. Our Q1 growth was well over 30% which proves that we can generate big growth even in well developed markets and our business with Lassan alone is up almost 50% year to date. Finally I’m very excited to announce that just yesterday we kicked off our relationship with Phoenix Distributing in New York as part of our push into Manhattan and the other four boroughs. They are a powerhouse in the New York beer and wine business so they’ll be getting us into their extensive list of on and off premise accounts. We are their sole non-alcoholic beverage partner and we’re looking forward to big successes with them. To wrap up this section, let me just touch on a few other drivers of growth this quarter, during this quarter Jones Soda was selected to be part of Sam’s Clubs VPI, VPI stands for volume producing item. This VPI program selection will allow Jones to be in more then 95% of Sam’s Clubs supported by various promotions such as email campaigns, Sam’s website presence and prominent placement in the stores. We are very excited about this program and we look forward to building this relationship with Sam’s Club. We started shipping under this program in the first quarter. In addition to that we had a very successful national St. Paddy’s Day display contest and we continued to distribute 24C to expand our distribution of 24C and improve our sales execution. Now let me cover some highlights of the brand value initiatives that are creating not only love and buzz for Jones but other brands. In the first quarter we continued our successful online marketing campaign with Super Bowl and President’s Day fun on FaceBook that generated a lot of chatter and volume among college kids. We played the underdog role with CBS Sports as a sponsor of their March Madness Brackets which set the highest number of look-throughs to jonessoda.com since turkey and gravy in 2004 and that is despite Coca Cola’s efforts to muscle us out of the program altogether with CBS. We’ve started to actively promote myjones.com the site where Jones fans can purchase customized bottles from us directly. It’s not only a powerful marketing tool but carries a very high margin for us when sales were up 30% in the first quarter. And as you’ve probably read in The Wall Street Journal today, it’s getting a lot of consumer praise. And finally we launched our partnership with Alaska Airlines and Horizon which by all accounts is receiving fabulous responses from our customers. I’ve already highlighted our supply chain management initiative, just to go over it once again, we are actively setting the location and associated costs of production locations with the objective of improving effectiveness and reducing costs. Hopefully I’ll be able to give you some real specifics the next time we talk next quarter. The one initiative that we promised to start later in the year is international market development for the 2009 introduction. We really believe this is going to be a very profitable opportunity for us. I’m only raising it today because during the first quarter we were actually able to accelerate one new deal abroad that we’re going to trigger in 2008. I’ll provide you with a complete framework for how we are approaching international business over the next few months. We’re investing in important new growth drivers but at the same time as you look into all these things we’re doing; I can assure you that we’re very mindful of control over our expenses. Hassan, do you want to walk us through the numbers?
Hassan Natha: Thank you Stephen. I’ll begin with a review of the first quarter of fiscal 2008, for the first quarter gross revenue before the deduction of promotional allowances and slotting fees increased 12% to $10.4 million compared to $9.3 million in the first quarter of 2007. The increase in revenue is due primarily to an increase in revenues in our DTR and DSD channels. Let me add some color to these increased shipments of finished goods sales in the first quarter. During the quarter we shipped 24C to over 70 distributors and retailers across the country. These shipments represent significant growth over the prior year’s first quarter. We expect shipments of 24C to continue to impact revenues in a positive way in future quarters. We also during this quarter started shipping to Sam’s Club under the Sam’s VPI program that Stephen mentioned earlier as well too. In the first quarter as well we started shipping to Alaska Airlines under the agreement with Alaska Airlines that we finalized in the month of March as well. We also started shipping to [Lassan] and Loblaws as part of the listing with them in the first quarter as well too. All of these items impacted our case sales and revenues during the first quarter. Promotional allowances and slotting fees of $951,000 were deducted from gross revenues during the quarter. These investments related to various distributor and retailer programs initiated in the first quarter. We did not incur any material slotting fees in the first quarter. The promotional programs that we put in place in the first quarter were to stimulate demand at the retail level and move existing inventory. Net inventory and the net revenue increased 2% to $9.4 million compared to $9.2 million in the first quarter of 2007. You should note that the net revenue for the first quarter in 2007 included sales of concentrate to National Beverage. We did not ship any material amounts of concentrate to National Beverage during the first quarter of 2008 as they had sufficient inventory to fulfill customer orders. Starting in 2008 we intend to present our volume of case sales of Jones Soda beverage products shipped directly by us through our DSD and DTR channels and also the case sales shipped by National Beverage through the CSD channel to the various retailers across the country. We believe that this measurement of finished goods case sales both direct shipments and indirect shipments better reflects the strength of the brand and the acceptance of the products in the marketplace. This change in the case sales representation does not reflect any changes in the way we record revenue or we present revenue. As I mentioned earlier in 2007 we represented cases of concentrates and syrups sold to National Beverage as part of that analysis which we will no longer present in the numbers going forward. The finished goods case sales in the CSD channel and concentrate case sales are not necessarily equal in any given period and factors such as seasonality, National Beverage inventory practices, new product introductions, retailer demand and changes in product mix can change both of these volumes so we believe that the finished good case sales is a better representation of the business at the retail level for us. Total case sales of finished goods products sold in our DTR and DSD channels by Jones directly to retailers and distributors for the first quarter were 782,000 cases compared to 598,000 cases for the same period in 2007, an increase of 31%. This consists primarily of the Jones 12 oz. bottles, the 24C 20 oz. bottles and sales of Jones Naturals, Jones Organics and Whoopass. Total case sales of finished products sold by National Beverage directly to retailers in the first quarter was 495,000 cases compared to 168,000 in the same period in 2007, an increase of 195%. This consists primarily of the 12 oz. cans. These shipments of the 12 oz. cans were to various retailers across the country during the quarter. Gross profit before licensing revenue for the first quarter was $1.9 million versus $3.5 million in the prior year for the same quarter, a decrease of $1.6 million. Gross margin in the first quarter of 2008 was negatively impacted by the provision of approximately $514,000 of discontinued inventory related primarily to specialty packs and packaging costs that Stephen touched on earlier. Gross profit was also impacted by incremental freight costs as we moved production from our St. Louis co-packer to our Toronto co-packer that Stephen also touched on earlier as well too. Gross margin for the quarter was 20.4% compared to 38.3% in 2007. Excluding the additional provisions for inventory, gross margin would have been 25.9% for the first quarter in 2008. Keep also in mind that the first quarter in 2007, the gross margins included sales of concentrate which impacted the margins very positively as well. For the first quarter 2008 our licensing revenue was approximately $51,000, a decrease of 65% over the same period last year. The decrease in licensing revenue is due primarily to the elimination of licensing revenue from Target which we earned as part of our deal from 2006 and early part of 2007. Total promotion and selling expenses for the quarter were $3 million compared to last year’s first quarter expenses of $2.4 million, an increase of approximately $643,000 or 27%. The increase in selling and promotion expenses is due primarily to increased promotion and advertising expenses, salaries, stock-based compensation and costs related to our sponsorship agreement with the Seattle Seahawks. Total general and admin expenses for the quarter increased to $2.8 million compared to last year’s first quarter expenses of $1.7 million, an increase of $1.1 million or 65%. The increase in general and admin expenses is due to the recording of an increase in legal fees, audit fees, salaries and stock-based compensation. Interest and other income for the quarter was $147,000 due to translation losses and interest income on cash balances. The decrease in interest income was due to lower rates and also decreased cash balances in the quarter as well. For the first quarter 2008 we reported a loss before interest and income taxes of $3.7 million compared to income of $13,000 for the comparable period in 2007. Provision for income taxes was $111,000 for the quarter ended March 31, 2008 compared to $45,000 for the quarter ended March 31, 2007. The tax provision for the three months ended March 31, 2008 relates to the tax provision on income on our Canadian operations. No recovery of taxes is recorded for the loss in our US operations as we have recorded a full valuation allowance on our net US deferred tax assets as we had discussed in our March conference call. The company reported a net loss of $3.8 million or $0.15 per fully diluted share, compared to net income of $58,000 or a breakeven fully diluted per share for the comparable period in 2007. I will now begin a review of the highlights of the company’s balance sheet as of March 31, as well as the key metrics the company uses to measure its performance. Cash, cash equivalents and short-term investments as of March 31, were approximately $22.7 million with zero borrowing against the company’s $15 million line of credit. This compares to cash, cash equivalents of approximately $27.7 million and zero borrowing as at December 31, 2007. The decrease in cash of approximately $4.8 million is due to an increase in working capital items such as accounts receivable, inventory, reduction in accounts payable and a loss from operations as well too. As of March 31, 2007 we had not borrowed any amounts under our credit facility. Accounts receivable outstanding at the end of the quarter were 63 days, an increase of eight days from a year ago. Accounts payable outstanding increased to 59 days compared to 40 days for the same period last year. Average days of inventory and stock decreased to 85 days as at March 31 compared to 90 days for the same period last year. At the end of March we saw an increase in inventory and that relates primarily to a seasonal build-up of inventory as we are on the front end of the beverage season and we start shipping to our retailers and distributors in the second quarter. I will now turn the call over to Stephen.
Stephen Jones: Thanks Hassan. Let me wrap up our comments by saying that again we are focused on building a highly profitable business over the next few years. That requires an investment in the infrastructure and we raised $30 million to build that infrastructure. And we are now investing that money in people, in better systems to reduce supply chain costs; we’re investing in consumer demand for our brands and new product development. As a result we will report modest losses the next few quarters. However we are confident we will emerge with a strong infrastructure capable of bringing more products and higher margin products to market and will generate profitability next year. So with that we will open it up for questions.
Operator: (Operator Instructions) Your first question comes from the line of Nicole Miller - Piper Jaffray
Nicole Miller - Piper Jaffray: Hassan, with the change in the case sales again, you can probably appreciate what I’m going to be asking for, but can we have this equivalent to this 495,000 for the all four quarters of 2007, we need that for modeling.
Hassan Natha: Sure, I will do that for you.
Nicole Miller - Piper Jaffray: Do you have purchase commitments related to the stadium deals and if so how does that impact the cash position going forward?
Hassan Natha: In our commitments, we do have the deals commitments related to both the Seahawks and the New Jersey Nets, and all of those deals are over a number of years under the terms of both contracts, the Seahawks and also the New Jersey Nets and so we do have those commitments in place and they are reflected, when we file our 10-Q next week, those commitments will be reflected in that 10-Q as well.
Nicole Miller - Piper Jaffray: You’ll draw down but you’re saying minimally so, the cash position in the short-term because it’s over an extended period or is it a big chunk up front?
Hassan Natha: The commitments we have are over a number of years but in terms of our cash position, at the end of March our cash position was $22.7 million, what we expect is that in quarter two and quarter three we will, as we build up inventory and we see a build up of receivables as part of the seasonal build up the beverage industry, the cycle that we go through, we will see cash position continue to draw down in the second quarter and in the third quarter and we see our cash position build back up again by the fourth quarter.
Nicole Miller - Piper Jaffray: And can we just reconcile this last comment about the $30 million that was raised a couple of years ago, I think some of that was also supposed to be for slotting and maybe you’re just not having to pay the slotting but can you help reconcile I guess a bigger picture question about, it looks like its almost going back to being like a push-pull model and with the investment its like you’re having to make the push and its not being pulled by consumers are you having more CSD sales, I don’t know, where’s the breakeven or how are you measuring returns?
Stephen Jones: You’re right that there was a lot of push over the first quarter because a lot of the inventory in the marketplace in the fourth quarter hadn’t moved through and we worked with a lot of retailers to make sure that we were moving product through in the first quarter. There is always going to be a balance of push and pull. We’re not going to withdraw from one or the other. It’s a balance of the two things that are working in harmony to create the sales. So the higher level strategic question is will our programs—how will our programs begin to create more consumer pull over the next couple of months and you’ll see a lot more activity around consumer pull in the promotions we’re doing with, under the cap with the bottles, and the other programs we have with cans coming up later in the quarter. So you’ll see a balance, but over time we obviously want to rely more on consumer pull programs then we do on the push programs. We’ve also adjusted our rules related to trade allowances on what we will allow to be spent on cases. We have a premium product. We are premium priced and we are not going to get into a discounted combat with the national brands. Just in summary, we are investing in stronger consumer promotions that will increase a lot more consumer pull but it does take time and we balance the two out over time.
Nicole Miller - Piper Jaffray: This might just be to the market I’m confined to, I was just in the Mid West market in the past couple of weeks and looking on the shelves of like a Wal-Mart and a Target and it was clear just to me as a consumer that you’ve lost some of your shelf, is that just temporary and then as a function of cleaning up inventory and some of these programs you’re going to gain back what you had or is that just something specific I saw in the market I was in?
Stephen Jones: I’m not exactly sure what precisely what you saw, we’re right now very, very happy with meetings we’ve had with Sam’s, Wal-Mart, Target, and many others, with the way our new shelf line is coming out. Many of the retailers are in a transition from the winter into the spring and summer shelf sets. So we’re very happy with the space that we’re moving into. So you may have either seen just a couple of choice stores, but generally we’re very happy with what we’re moving into and the amount of space we’re getting in those accounts. The only thing I’d add to that is there’s no question that merchandising execution and improving the quality, what we’re doing on the shelf, is in that top six priorities that we have along with improving our sales team and that in-store execution, you’ll begin to see us continue to invest against in-store execution. And next quarter we’ll be able to take you through a couple of new initiatives that we’ll be launching over the period of this quarter all related to in-store execution and in-store merchandising.
Operator: Your next question comes from the line of Mark Astrachan – Stifel Nicolaus & Company
Mark Astrachan – Stifel Nicolaus & Company: A couple of questions on the SG&A costs, they continue to remain very high. I guess my question is when if ever do we see these costs start to decline and then as it relates to that, are some of these more one-time or near-term in nature and then they go away or normalize and become a little bit easier for you, and then related to that, on the purchase obligation, the numbers that I saw in the 10-K looked pretty substantial as it relates to the overall SG&A costs. So my question is how much of these purchase obligations are in the SG&A line and how ongoing are these given the commitments that you have through at least 2013 or so?
Hassan Natha: The SG&A costs I think to comment on that, what we’re looking at right now on the selling side is we continue as Stephen mentioned, look at building the sales team infrastructure so we’re not going to see a significant decline in costs. We will probably see some decline in stock comp based compensation. What we’re looking at is an increase in revenues over a period of time as we build up the structure and build up the team to support that growth.
Stephen Jones: We are not about to build up a huge sales group but we will be increasing not only the size but the caliber of it. You will see that investment in sales people and sales reps managing shelves grow over the next couple of months and longer term it will plateau out, probably by the end of this year. But as we look at a very, very important investment that will have a return very, very soon.
Hassan Natha: And in terms of the commitments that you mentioned, our SG&A reflects the commitments of the Seahawks and the New Jersey Nets for this year in the first quarter the expenses incurred. The commitments that you’re seeing in the 10-K and you’ll see in the 10-Q, reflect commitments that we are making to them over 2009, 2013, 2014 or whatever the terms of the agreements are with them and other commitments that we have in place both from an SG&A perspective and also from a cost of goods perspective because there are some commitments that relate to cost of goods such as sugar and bottles and other types of manufacturing related commitments that we have in place.
Mark Astrachan – Stifel Nicolaus & Company: Switching over to the finished goods sales that you talked about, what percent of the first quarter increase is due to channel fill and getting some of the new products on the shelves like the Cola, the Diet Cola, the Lemon Lime, or simply into selling it in new accounts in Canada for instance? What is the actual amount of same-store sales that we’re seeing here?
Stephen Jones: Related to the new flavors, that was much more of an April distribution so we really would see an impact of Cola and the Lemon Limes more in the second quarter then we would in the first quarter. There was an important push for the Lassan Loblaws account, some of which got delivered at the end of March, those new bottles, the 4-pack bottles, but that’s probably, again Hassan can give the specific number, that’s not a large part of it. Really what we were, we had a lot of new 24C that we didn’t have in the first quarter of 2007. We didn’t have a lot of 12-pack cans in the first quarter of 2007; we were just beginning that. So that is what really was driving that growth.
Hassan Natha: I don’t have a percentage that I can share at this moment, but there is a portion of it which is new fill but there is also a portion related to our legacy business which is the Jones Soda business selling into our current distributor and some of the sell-through into our new distribution that we have with Sam’s Club and with Loblaws and the 24C as Stephen touched on, we started shipping 24C in the second quarter, third quarter of last year and that continued to increase into the first quarter of this year with over 70 distributors and retailers taking this product and we continue to see that product momentum. We’re starting to see the sell-through and we’re starting to see second order, third orders and repeat orders coming through for that product and obviously the ongoing shipments of Jones 24C into our distributors and our DTR retail partners as well too.
Mark Astrachan – Stifel Nicolaus & Company: Did you comment on your expectations for the year from a top line standpoint?
Hassan Natha: In the March conference call we had indicated to everybody that our guidance was looking at, for this annual, this fiscal year, revenues of between $48 million to $50 million. At this stage we have no intention to change that. We’re comfortable with that guidance so we anticipate revenues, net revenues for 2008 to be in the $48 million to $50 million range with a projected loss for this year.
Operator: Your next question comes from the line of Jeff Kanter – UBS O’Connor
Jeff Kanter – UBS O’Connor: There were a lot of very solid or exciting initiatives talked about last year, 24C, [Gava], Organics, the VPI at Sam’s, is clearly a big deal. Its usually a big deal for PBG and CCE and whatnot, I would imagine it’s a very big deal for you, but where are we with these other initiatives?
Stephen Jones: Sure, 24C is doing very, very well as Hassan as said, we’re getting repeat orders. We’re continuing to extend our reach into new markets with new distributors, 24C is a hit and we’re anticipating even more news around 24C in the next couple of months. Gava is on the front burner; working on that. I don’t want to give away too much on any new product development specifics but it’s a very high priority for us. I think that in the, after the introduction of Organics and teas there may have been concentration on the 12-pack cans and Seahawks and a few other things maybe some point of a distraction and not a full emphasis on Organics, but Organics remain important to us. I’m not entirely pleased with the sales results of Organics everywhere but it is quickly going higher on our priority list. It’s a great product; we get a lot of great response from our customers. We haven’t had a lot of, with the 24C expansion, with the Cola under our belt now; we’ll be able to bring back our emphasis on the Organics.
Jeff Kanter – UBS O’Connor: Three Board members are not standing for reelection, including [Scott Bedberry] and Scott Bedberry in my view was a crucial part of this story given his background. I think he carried a lot of weight personally, what’s going to go on with the Board now? Who’s going to be replaced and given that Peter still owns all this stock is he going to be coming more active now that a lot of the Board just resigned?
Stephen Jones: Well first of all I wouldn’t say they resigned, what the three did was just inform us that they were not intending to seek reelection. Scott’s been on the Board, I think it was going on five years, and five years of contribution is a lot and he had to manage all of the other things he’s doing and felt that after five years, he had to begin focusing on a few other initiatives in his life which he’s quite excited about and we really wish him the best. Al and Jack have both been on the Board over three years and had been talking about not seeking another term for a couple of months so it’s a good natural evolution of the Board. We’re very, very excited about the names that have been put forward on the new slate. They’re going to add a tremendous amount and going forward I think that we do have a strong Board and will continue to have a strong Board after the Annual Meeting. Scott has, there’s no question, Scott had a special place in the heart and mind of Jones Soda but there’s an awful lot of people at Jones Soda who have had that spirit, who have that creativity and they’re really coming to the forefront. We’re very proud of a lot of people who have come to the forefront and who have initiated an awful lot of new thinking on the brand. Everybody is always missed but we have a lot of strong people both in the company and on the Board who bring what Scott had to the party. So we’re quite excited about that.
Jeff Kanter – UBS O’Connor: Every company, every small cap company that’s in a high growth mode, investors want to see management ownership and I was excited that I saw you buy stock after the last conference call, but do you expect, do you personally expect to buy more and all these managers that are coming on, so I could just be sure that my interests are aligned with the way that you’re thinking about the business?
Stephen Jones: I can definitely assure you that every Board member’s interests are aligned with shareholders’ interest and with yours. I think you’ll find some of the new people coming on the Board are already shareholders and yes over time I plan to increase my ownership of shares.
Jeff Kanter – UBS O’Connor: Hassan, your cash on the books went down. You’re in this transition year, given the expansion into New York City and the VPI I’m hopeful that these are conservative numbers that you’re talking about, but regardless do you have enough cash to get you through or do you have to look for somebody else to either inject more money into it, whether the Mitsubishi with Gava or do you look to even sell the business which from my perspective given that potential is trading at a much, trading at a discount to reality, is that a consideration?
Hassan Natha: Let me address the cash question, what we’re looking at is and I’ll walk you through both our projections for 2008 and our initial projections into 2009 as well too, our projections for 2008 in terms of cash balances, as I mentioned to the earlier question was that we do see our cash position go down in the second quarter and third quarter and basically that’s to fund the working capital requirements and small operating loss for the rest of the year. We expect our cash balances to come back up again. That being said we believe we have sufficient cash on hand to support the current business, the growth of the future business that we have on the plate right now both into 2008 and into 2009 as well too. We also have access to a $15 million line of credit and all of these are sufficient liquidity for us to continue to build and grow the business. I think the other thing that Stephen touched on earlier which is also very important is that we are making the investments and we’re making all the prudent appropriate investments with a keen focus on ROI. There’s also very tight focus on spending as well too. Jones Soda continues to be a frugal company in how we manage our expenses is a key part of that as well too. So from a liquidity and a cash flow perspective we as a management team are very comfortable that we’ve got the liquidity and the cash flow to support the business and continue to grow the business and meet our strategic objectives that we have in place.
Jeff Kanter – UBS O’Connor: Joth, how big is this Phoenix deal in New York City?
Joth Ricci: Well it has the potential to be a big deal for us and as we continue to enhance our relationship with the New Jersey Nets and being a beverage and the [inaudible] distributor in New York City and as Stephen mentioned earlier with their penetration into the marketplace both on and off premise, it gives us a much further reach into that market then we’ve ever had. So the quoted number would probably be too early to do that but we’re really excited about what the possibilities are.
Stephen Jones: I was out with the Phoenix guys yesterday. They are really pumped. This is there only non-alcoholic part of their portfolio. They see extending this and complementing both their beer and wine business and both on premise and off premise. I’m not going to give you a number as Joth just said, but these guys are pretty excited about going out and selling Jones products across their outlets.
Jeff Kanter – UBS O’Connor: So it’s the entire portfolio of products?
Stephen Jones: Of [seltzer] products? Yes. We’ll phase it in, its 24C, its Jones, its Organics.
Jeff Kanter – UBS O’Connor: Did it start?
Joth Ricci: It started today.
Operator: Your final question comes from the line of Rob Straus – Merriman Curhan Ford & Co.
Rob Straus – Merriman Curhan Ford & Co.: As it relates to the promotions that you executed in the quarter how does that look on a regional basis?
Stephen Jones: Well first of all the St. Paddy’s Day promotion was national, it was on Jones bottles. That was national. The VPI was pretty much national. The President’s Day and the other coupons were online. You could get your coupons on FaceBook so you’ve really got no boundaries to that. We had some other small regional promotions where we took advantage of opportunities with individual customers but by and large those three big initiatives in the first quarter were available nationally.
Operator: There are no additional questions at this time; I’ll turn it back to management for any closing remarks.
Stephen Jones: I’m going to stick with my remarks that we made at the end of before we went to questions. We are in a growth phase, we’re transitioning this business. We’re investing in the right things whether it’s the distribution infrastructure, the sales team and our ability to execute inside the store, our marketing programs that are building the brand, not only the buzz and the love for the brand but purchases of the brand, getting the people the tools and working on the supply chain management is critically important to us. And becoming more effective and more, reduce some of the costs all with help drive up our margins. I think that the shareholders that we presented to in the last couple of months really understand the strategy of the growth and the investments that we’re making and we’re looking forward to building out Jones Soda Co. into being a long-term, sustainable player and turning into profitability next year. That’s all I would add to that.